Operator: Good morning and welcome to Newmont's Third Quarter 2020 Earnings Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Jessica Largent, Vice President of Investor Relations. Please go ahead.
Jessica Largent: Thank you and good morning everyone. Welcome to Newmont's third quarter 2020 earnings conference call. Joining us on the call today are Tom Palmer, President and Chief Executive Officer; Rob Atkinson, Chief Operating Officer; and Nancy Buese, Chief Financial Officer. They will be available to answer questions at the end of the call along with other members of our executive team. Turning to Slide 2. Please take a moment to review the cautionary statement shown here and refer to our SEC filings, which can be found on our website at Newmont.com. And now, I’ll turn it over to Tom on Slide 3.
Tom Palmer: Thanks, Jess, and thank you for all for joining us this morning. Before I start, I will take this opportunity to thank Jess Largent who will be leaving Newmont at the end of the year after more than five years with us, which included three years as Head of our Investor License Group. For those of you who have not had the chance to meet him, I also like to introduce Eric Colby, our Vice President of Strategic Communications. Eric was appointed to lead a strategic communications function earlier this year. And he combines both Investor Relations and Communications. Eric has been with Newmont since 2007 including three years working at Yanacocha in Peru. And since 2013, Eric has led multiple transactions as part of our corporate development team, playing a key role in the divestiture of Batu Hijau, the acquisition of Goldcorp, and the formation of the Nevada Gold Mines joint venture. I would like to thank Jess for her many contributions to Newmont. The support that she has provided me and my team and wish her the very best of luck as she marks on her next adventure. Turning back to results. I'm very excited to share with you our record for third quarter performance as we continue to deliver on our purpose to create value and improve lives through responsible and sustainable mining. Turning to our quarterly highlights on Slide 4. Newmont has the industry's most diverse, balanced portfolio of world-class assets that provide stable production with significant leverage to rising gold prices. We have continued to manage through the COVID pandemic from a position of strength. With a proven leadership team, operating model and highly attractive workforce, we're building on our track record of superior value creation. I'm incredibly proud of how our teams across the world have responded to this pandemic. And the sacrifice this people have made and continue to make to support Newmont and the community in which we live and work. They have set a standard for leadership in our industry. All of our projects are now operational and we delivered record financial results. We produced 1.5 million ounces of gold and 273,000 gold equivalent ounces from copper, silver, lead and zinc putting us well on track to achieve our full-year guidance this year. We generated significant operating cash flow of $1.6 billion and free cash flow of $1.3 billion, the most in any quarter in Newmont's 100-year history. We have continued to sign advanced project works at Tanami, Subika Underground, and Musselwhite. We also announced the sale of royalty portfolio to Maverix Metals which closed yesterday and exploration joint ventures with Agnico Eagle in Colombia and Kirkland Lake in Canada. Our solid operating performance further improved our financial strength and flexibility. We ended the quarter with $4.8 billion of consolidated cash and reduced our net debt to adjusted EBITDA ratio to 0.4 times. And yesterday, we further demonstrated our confidence in the strength of our business and continued commitment to leading shareholder returns with a 60% increase to our quarterly dividend, which is now $0.40 per share, or $1.60 per share annualized. This is the second increase to our dividend this year and reflects the strength of Newmont portfolio to pay a higher dividend, while continue to advance profitable projects and maintain financial strength and flexibility. Newmont will remain disciplined in everything we do, including the prudent now approach to capital allocation, given the uncertainty in the world today. However, we will have an opportunity to evaluate even further returns to shareholders as we continue to do excess cash. And last, but certainly not least, we're the first and only mining company to achieve gender parity amongst their non-evasive directives. Setting an example at the very top of our organization that is fundamental to sustain cultural change. Turning to Slide 5 for more detail on our commitment to improving lives. At Newmont, we have a fundamental belief that a commitment to leading environmental, social and governance practices are essential to delivering sustainable long-term value, with all of our stakeholders. This starts with our commitment to our people and the work we're doing to sustainably improve health and safety and create a more inclusive culture across our global business. We continue to perform well against our public sustainability targets to source from local supplies, high within the communities in our operations, respond to community complaints in a timely manner, reduce our work consumption, and complete planned reclamation activities. We're on track to meet a seven-year target to reduce our carbon emissions by 16.5% by the end of this year, and are also working to develop longer-term science based targets for emissions, which we plan to release next month. We're committed to fully implementing the global industry standard from talent management that will help us improve how we manage these type of facilities. We're the second most transparent company in the S&P 500 and placed 12th out of more than 200 companies on the Corporate Human Rights Benchmark. These achievements are the result of related hard work from generations of leaders, lessons learned and improvements made that form the very DNA of Newmont. Turning to Slide 6, as a mining industry, we must continue to improve our health and safety performance. At Newmont, we have a relentless focus on ensuring that everyone who works in our business can return safely home to their families. As leaders it is up to us to create a culture in which fatality risks are clearly understood and sustainably managed at all times. Through visible sales leadership and the systems we put in place to manage risk consistently across our global business, we're working to significantly improve our safety performance. In response to eliminating fatality and supporting an injury-free workplace, Newmont made a symbolic change this year. Staying away from an industry's conditional use of a lagging personal injury rights in our bonus programs to mission that is focused on managing the critical controls that must be in place at all times to prevent fatalities. This year, we have completed over 40,000 Critical Control focused conversations in the field, conversations that have proactively identified and eliminated potential risks that could lead to a fatality. And we've recently began using digital tools, introducing an app across the organization to facilitate these conversations and capture more robust data that can quickly analyze and shape across our business globally. On the back of this work, we have reduced our significant potential events by two-thirds compared to 2019 and achieved a six-fold improvement from when I joined Newmont in 2014 and started out on this journey. And despite the significant leadership distractions due to managing COVID this year, we're on track to achieve the lowest personnel injury rate in our company's history with a total recordable injury frequency rate of 0.28 for 200,000 hours worked. It is no coincidence that visible felt leadership focused on fatality prevention is driving a significant improvement in all of our safety metrics. Turning now to the Industry's Best Portfolio on Slide 7. Among our 12 operating mines and two joint ventures, we had 8 world-class assets, each of which delivered more than 500,000 Gold equivalent ounces per year, and all-in sustaining costs of less than $900 per ounce, and the mine life that exceed 10 years. Importantly, all eight are located in top tier jurisdictions that we define as countries classified in the A and B ratings ranges by Fitch, Moody's, S&P and Fitch. We firmly believe that we have the right-size portfolio to generate sustainable returns from our world-class responsibly managed assets located in best gold mining jurisdictions. Underpinning our asset base are the largest gold reserves in the world with nearly 96 million ounces. We also offer substantial future upside to our dollar resources pipe with nearly 75 million ounces of measured and indicated resources. In addition to this, we have 63 million gold equivalent ounces in our reserves, which includes 15 billion pounds of copper. Importantly, 90% of our reserves are in the Americas and Australia. The exploration [indiscernible] and will continue to be at core competency in Newmont. Our disciplined exploration program makes the groundwork for growing our reserves and resource base to sustain stable, steady production, and cash loans for decades to come. Turning to Slide 8, our portfolio will generate more than 6 million ounces of gold per year through 2029. This stable production profile is underpinned by our eight world-class assets, our industry-leading exploration program, and our latest three development projects: Tanami Expansion 2 which is in execution, and then Ahafo North and Yanacocha Sulfides both of which are in the late stages of the definitive feasibility. As you can see here, our portfolio provides steady production over the next decade, balance across each of our four regions. This profile is further enhanced by more than 1 million gold equivalent ounces from silver, lead and zinc at Penasquito and copper at Boddington and Yanacocha. Combined, we will deliver more than 7 million gold equivalent ounces per year for the next decade, the most of any company in our industry. Turning to our unrivaled project pipeline on Slide 9. Our project pipeline is unmatched in the gold industry and is one of the best in the mining industry. There is significant value to unlock as we optimize and advance our longer-term projects unlike the pathway to steady production and cash flow well into the 2040. Now major projects include Ahafo North, which is the best on mine gold deposit in West Africa and for which we expect to reach full fund decision early in the New Year. And Yanacocha Sulfides, which is also integrating towards a full fund decision next year, and has the potential to extend Yanacocha's life well into the 2030s. Looking at the earlier stage projects, in our pipeline, you will see two new projects increase visibility. With Pamour and Porcupine which is formally the CC&V project and Oberon and Tanami. The Pamour project is actually existing Pamour Open Pit and is smaller in scope than the prior CC&V project, which requires a relocation of the existing processing facilities in order to access the Dome mine. Developing Pamour is expected to extend mine life by another decade, providing us more time to explore the [indiscernible] and Dome whole value to find the next profitable extension of the Porcupine mine. Pamour is a great example of Newmont's disciplined investment system, which focuses on value creation and tight investment decisions to maintain a current production profile instead of progressing Hoyle complex capital intensive project. At Oberon, we're very excited that Newmont exploration continue to identify Hoyle prospective deposits with the potential to further extend life and reduce costs at the world-class Tanami asset. Rob will cover some more details on Oberon shortly. At Coffee, we completed our exploration mapping exercise and the closing the camp I think what we just stated. We remain excited about the potential at Coffee to fully optimize the orebody and improve value. In addition to our highly perspective gold projects, we had significant organic exposure to gold and copper poultry including Norte Abierto, Nueva Unión and Galore Creek. In fact, if you assume that one of the three mega projects completed their production profile at the back end of this decade, Newmont's total production would be around 15% to 20% copper, providing us a natural exposure to a metal of growing importance for reducing carbon emissions and facilitating the ongoing transition to a new energy economy. It's also worth noting that since 2016, I have made the delivery of 10 projects on solid budget, achieving an average internal rate of return of over 30%. Going forward we will build on this track record by continuing to apply our disciplined and rigorous approach to project and ensuring Newmont is well-positioned to generate superior value throughout the project cycle. Turning to our free cash flow generation potential on Slide 10. Our balanced portfolio, combined with our disciplined and operating model provides significant leverage to high gold process from the largest production and reserve base in the world. For every $100 increase in gold prices above our base assumption Newmont delivers approximately $400 million of incremental, attributable free cash flow per year. Using our conservative $1,200 gold price assumption, our base free cash flow would still total more than $5 billion over the next five years. At the current gold prices, our portfolio will generate more than $19 billion of free cash flow over that same timeframe. To be clear, this is free cash flow that is entirely attributable to Newmont's accounts enabling us to provide industry's leading returns. With that, I will hand it over to Rob to discuss our operational performance on Slide 11.
Rob Atkinson: Thanks, Tom. Before jumping into the regions, I'll start with a general COVID update. Across our portfolio, we've continued our wide ranging controls and safety protocols to place the health, safety and wellbeing of our teams and our communities above all else. While we've had employees and contractors test positive for the virus, our effective testing, contact tracing and quarantine procedures have proven to be effective in mitigating the spread to other employees and local communities. In the second quarter, with five sites and care maintenance and all five sites were operational in the third quarter. Penasquito ramped up quickly and was achieving pre-COVID record levels in the plant by mid-June. Éléonore and Musselwhite ramped up early in the third quarter, and Yanacocha has returned to nearly full capacity. Cerro Negro is currently operating at about 60% of normal capacity, as the site continues to be impacted by ongoing travel restrictions in Argentina due to the virus. We're working closely with the local authorities and unions and are mitigating the efficiency impacts of reduced staffing levels by consolidating our mining and processing efforts in the near-term. I'm incredibly proud of the commitment of all of our teams during these difficult times, and the efforts that they have demonstrated day in, day out to work and produce safely. Turning to Slide 12 for an update on Australia's performance. At Boddington, we delivered solid third quarter production on the back of higher grades, which partially offset the wet weather that impacted mining productivity. As the stripping campaign winds down, we expect to benefit from higher grades through 2022. Boddington is expected to finish the year strongly with higher production and lower operational costs in the fourth quarter. The Autonomous Haulage System is progressing well, and remains on track to be fully operational in the first half of 2021, which will further enhance Boddington safety and productivity, while also extending mine life. The team continues to work very closely with Kant, as we prepare to become the world's first open pit goldmine with an Autonomous Haulage Truck fleet. The Kant 9-star system has been installed, and we’re expediting the delivery of the AHS trucks with 14 of the 29 arriving before year-end ahead of schedule. Tanami delivered another strong quarter with higher grades which helped offset COVID-related travel restriction and quarantine protocols that impacts productivity. The team remains focused on improving productivity through optimized shift, roster, and flight schedules. And despite the challenges over the course of 2020, Tanami remains on track to produce 500,000 ounces this year. Tanami Expansion 2 is progressing well, with around 40% of engineering work complete and close to 20% of the overall project complete. Earlier this month, we achieved a significant milestone completing the pilot hole, which provides us the ability and guidance we need to be able to develop a new 5.4 meter wide shaft from both the top and the bottom. Construction for the camp is well underway with around 75% of the new surface buildings in place. We continue to review the schedule and capital for this project to understand the full impact of potential delays due to the ongoing impact of COVID. Looking further ahead, we have significant near-mine exploration upside with extensions to existing deposits and at Oberon which has the potential to grow beyond 2 million ounces. Oberon is an open pit deposit located only 28 kilometers to the north of the Tanami Underground mine and has a potential to grow production to the operation beyond the current 500,000 ounces per year. As Tom mentioned, Oberon is in prefeasibility, and we've been remotely progressing our study work by evaluating mine planning scenarios and resource level updates. Recently, we resumed fieldwork after working in close collaboration with traditional owners to access the area and safely remobilize our hydrogeological drilling efforts. Exploration drilling is planned to resume after the upcoming wet season. Turning to Africa on Slide 13. As a team, we delivered solid third quarter performance with higher throughput and recoveries and we expect to reach higher grades in the fourth quarter, which will continue through 2021. At Ahafo, our investment in this world-class asset continues to deliver value. Our transition to a more productive underground mining method is to become the ground is progressing very well with development rates ahead of schedule. During the quarter, we ramped up to mining four to five stores concurrently in various locations of the mine, reducing congestion and increasing tonnages. Higher grades from the underground will help offset the stricken campaigns in the Awonsu and Subika open pits through next year. And at Ahafo North, we continue to advance the permitting process with the Ghana EPA and the team is focused on engineering and design work, as well as construction, procurement and community planning. As Tom mentioned, we remain firmly on track for a full fund's decision in 2021. When approved, our plans include building a standalone mill to produce approximately 250,000 ounces per year, over a 13-year mine life for an investment of approximately $700 million to $800 million. And Ahafo North functional and technical resources will be supported from our current Ahafo operation, leveraging our proven operating model to reduce duplication in the region. Turning to our South America operations on Slide 14. Merian delivered solid third quarter performance as we processed stockpiles to help offset more tonnes mined, and we expect higher grades in the fourth quarter as we advance into the harbor ore. Yanacocha ramped up from 80% capacity in July to near full capacity in September. In the third quarter we processed our higher leach tonnes and return to more normal levels of throughput in the mill. And as expected, the inability to place leach tonnes in the second quarter will impact Yanacocha through 2020. But the team is working very hard to improve leach cycle times. At Cerro Negro, we're focused on operating as efficiently as possible to help mitigate the ongoing impacts of the travel restrictions caused by the virus. As a result, we're currently running the mill in campaigns, and the team continues to demonstrate resiliency despite facing inclement weather in the third quarter, and complexities of managing varying workforce availability changes. Mining is focused on development in the Marianas complex, but we are forecasting a slower ramp-up delaying access to higher grade stores into 2021, while we work with the authorities on a longer-term plan to return to normal operations by the end of the year. It is worth noting that Cerro Negro is only approximately 4% to Newmont's year production. So as Tom previously mentioned, we're well on track to deliver our 2020 guidance. Looking ahead, we remain very excited about Cerro Negro which has the potential to become the largest gold producer in South America. We have more than doubled our land position, and the mine and its surrounding areas are highly prospective and under explored. Our exploration team has identified significant district's field potential with more than 100 million prospects and ranked Cerro Negro as one of the most prospective land packages in our entire global portfolio. We're also very excited about Yanacocha Sulfides progressing to a full fund's decision in 2021 and we will continue to share additional details as our definitive feasibility study progresses. So wrapping up with North America on Slide 15. Peñasquito delivered solid third quarter performance as we safely and efficiently ramped up from care and maintenance. While the site continues to manage through COVID-related workforce challenges, we've been able to maintain our record levels through the plant and we also successfully completed a two week mill maintenance shutdowns in September, setting the operation up for a strong fourth quarter. Our full potential program continues to drive value from this world-class asset. And we’re currently focused on improving fragmentation through our blasting process and we continue to make enhancements to the front-end of the mill to further improve throughput. In addition, we fully ratified the sustainable agreement with the Cedros community in August, which also helps us to explore our large land package that is currently only 20% explored. At Musselwhite, we successfully ramped up from care maintenance in the third quarter, and we started stockpile processing. And I'm delighted to say that we achieved mechanical completion of the conveyor system yesterday and have started the important process of wet commissioning. Over the coming weeks, the conveyors will be tested to ensure all components of the conveyor belts are safe and fully operational as expected. And I very much look forward to completing the full commissioning and reaching nameplate capacity of the belts in December. Also, just last week, this project completed over 100,000 hours without a lost time injury. Again, I'm very proud of the great work of our sites and project teams, along with our contractor segmentation to ensure that we keep the health and the safety of every teammate in the forefront of every shift. Development rates at Musselwhite are exceeding plan and commissioning of the materials handling project has begun and is expected to be fully completed in November. We have also officially kicked-off our full potential program at Musselwhite building on the virtual efforts over the last several months. Overall, Musselwhite is very well-positioned to be fully up and running as we enter 2021 and we'll be back stronger than ever before. At Éléonore, our third quarter performance improved as the site ramped up from care maintenance. Ongoing COVID-related restrictions continue to impact staffing level, but development rates ramped-up in September and we're back to operating at normal capacity. Our site leadership team remains focused on improving efficiency and productivity and is driving fundamental changes as to how we operate at approximately 250,000 ounces of annual gold production with a sustainably lower cost base. We've made significant progress restructuring and reducing the overall number of site personnel. Yet morale has improved and production levels are on the rise, which speaks to the cultural change taking place at Éléonore. Through our full potential program, we've delivered $24 million of value year-to-date, and expect to continue to deliver meaningful cost improvements in 2021 and beyond. Earlier this year, we commissioned the Lower Mine Material Handling project safely and under budget, which will significantly streamline the transportation of water surface as we transition to higher production rates from the lower levels of the mine in the years ahead. Our exploration drills at Éléonore are returning very encouraging results, both laterally and at there and we're improving our understanding and interpretation of the geological model. We have also advanced our understanding of the District's geological framework, which will inform our 2021 drill program and targets less than 20% of the property drill tested to-date. Porcupine delivered solid third quarter results, and the site is improving underground development rigs with several new initiatives underway that will increase tonnes mined and processed in 2021. And CC&V also delivered strong results from an increase in tonnes mined and reaching higher grades at the bottom of the crescent [ph] pit. And with that, I'll turn it over to Nancy to discuss our financial results on Slide 16.
Nancy Buese: Thanks Rob. Turning to Slide 17 for the financial highlights. We delivered our strongest ever quarterly performance across several financial metrics, including record free cash flow of $1.3 million, of which 97% is attributable to Newmont. Year-to-date, we have generated $2.3 billion in free cash flow of which 96% is attributable to Newmont. Other notable third quarter results include revenue of nearly $3.2 billion, adjusted net income of $697 million or $0.86 per diluted share, adjusted EBITDA of more than $1.6 billion, an increase of 54% from the prior-year quarter, and cash from continuing operations of $1.6 billion ending the quarter with a strong cash position of $4.8 billion. We ended the quarter with liquidity of nearly $8 billion and our net debt to EBITDA ratio improved to 0.4 times. Earlier this month, S&P moved Newmont's outlook from stable to positive and strong free cash flow prospects and reconfirmed our BBB credit rating. As a reminder, our financial results proportionally consolidate the company's ownership interest in Nevada Gold Mine that do not include the contributions from the company's investment in Pueblo Viejo which appears in equity income versus in our operating results. For the third quarter, our 40% of PV reported 87,000 ounces of production and would have added an additional $115 million of EBITDA. Turning to Slide 19 for a review of our earnings per share in more detail. Third quarter GAAP net income from continuing operations was $611 million or $0.76 per share. Adjustments included $0.07 related to the change in fair value of our equity investments, $0.03 related to incremental COVID specific costs such as additional screening protocols, transportation costs, and community fund disbursement, $0.10 related to pension settlement changes related to the Nevada Gold mine transaction, $0.03 related to tax adjustments and valuation allowance, and $0.07 of other charges. Taking these adjustments into account, we've reported third quarter adjusted net income of $0.86 per diluted share. While the adjusted EBITDA for approximately $32 million of non-recurring incremental COVID specific costs from our third quarter net income, we did not adjust out approximately $35 million of care and maintenance costs to Yanacocha, Cerro Negro and Musselwhite ramping up in the third quarter. With that, I'll hand it over to Tom on Slide 19.
Tom Palmer: Thanks, Nancy. Turning now to Slide 20. Our capital allocation philosophy remains unchanged and continues to balance the following three priorities: reinvesting in our business through disciplined investments in exploration and organic growth projects; maintaining financial strength and flexibility to sustain the business across cross cycles; and returning cash to shareholders. Newmont continues to set new standards as the clear industry leader in shareholder return which we further differentiated with a 50% increase in our quarterly dividend that we announced yesterday, bringing our quarterly dividend to $0.40 per share and an annualized dividend rate to $1.50 per share. This was our second substantial dividend increase this year, demonstrating the strength and stability of our business. Turning to Slide 21 for more details. During 2019 and 2020, we'll have returned more than $2.5 billion to shareholders through dividends and share buybacks, an amount that is more than a total of our next eight competitors combined. Our employees' take the share third quarter dividend represents a 186% increase from the third quarter dividend in 2019 and highlights the strength of our financial position and our ability to continue kind of industry-leading dividend, mostly simultaneously investing and develop our most profitable projects. Our most recent dividend increase was the same within our newly established dividend framework. This framework provided our shareholders with the stability of advice annualized dividend of $1 per share calibrated at a $400 gold price assumption. And the potential to receive 40% to 60% of the incremental free cash flow generated at gold prices above $1,200 per ounce. Our third quarter dividend was calibrated at a conservative and stable $1,500 gold price assumption. As we have disclosed previously, Newmont generates incremental free cash flow of approximately $400 million for every $100 change in the gold price above $1,200. So at an assured $1,500 gold price, we would generate approximately $1.2 million of incremental free cash flow annually. Our third quarter dividend increase was calibrated to share 40% of that incremental $1.2 million free cash flow that Newmont will generate at an assured $1,500 gold price. That 40% is approximately $490 million. This equates to $0.60 per share annualized, an increase of $0.60 per share annualized have ramped $1 per share dividend. As a result, we’re pleased to offer our shareholders an annualized dividend of $1.50 per share. We chose a conservative $1,500 assumed gold price for the calibration of our third quarter dividend to maintain financial discipline and prudence as well as to instill stability and predictability into our dividend increase framework. We will typically reassess the gold price semiannually and recommend incremental dividend increases when we believe gold prices have revised at levels of at least $300 per ounce higher than they applied to establish our prior dividend increase. While the dividend will be fetched quarterly by our board, the framework is planning to ensure stability and predictability and we will evaluate the additional dividend in gold price increments of approximately $300 per ounce. In addition to this framework, we had a number of tools about deploying excess cash based upon the circumstances at the time. These include further strengthening the balance sheet for debt repayments, opportunistic share buybacks, and additional dividends. Our commitment to industry-leading shareholder returns is evidenced by our track record, and we're confident in our operation delivery and discipline will enable us to continue to enhance that record outperformance. With that, I will wrap it up on Slide 22. Over the last 18 months, Newmont has assembled the gold industry's leading portfolio, our world-class operations and projects in top tier jurisdictions and will deliver more than 7 million gold equivalent ounces per year for the next decade and beyond. Our ability to generate substantial free cash flow across the thought process is unmatched and our significantly reaching high gold prices was demonstrated by our record third quarter free cash flow of $1.3 billion. As we continue in our 100th year, Newmont is leading the gold mining industry with a foundation that is stronger than ever, and a proven strategy to deliver long-term value while improving lives. I'm very excited about what the future holds at Newmont and I look forward to keeping you updated on our performance. With that, I will turn it over to the operator for opening the line for questions.
Operator: We'll now begin the question-and-answer session. [Operator Instructions]. Our first question today comes from Fahad Tariq with Credit Suisse.
Fahad Tariq: Hi, good morning, just one question for me. I didn't see in the presentation, anything on synergy targets and what maybe if that's changed or not. But in any case, can you provide some color on -- is the cash flow synergy targets still $500 million for next year? How is that progressing? And anything else you could tell us on that front would be great.
Tom Palmer: Okay, thanks, Fahad, and good morning. I will talk regarding some cash results and then give you some full results of where we're delivering net value. Yes, we're on track to deliver facility targets, as we've committed, $500 million next year is still very much our commitment that's incorporated in our long-term guidance. I will update our long-term guidance in December in accordance with that. Just this week we have been meeting with our board to review our plan, which forms the basis of our guidance. But I remain very confident we will deliver at least $500 million of free cash flow next year. And as I say, it is still already in our long-term guidance. Rob, you want to give a few stories [ph].
Rob Atkinson: Thanks, Tom and thanks for the question, Fahad. I find a way the engine of our predominance is in Penasquito and that team continues to do particularly well and have over exceeded this year. And as a remainder, the key areas that we're focused on are primarily the front-end of the process plan to allow more water flow through the mill. And we've successfully done that in states. In terms of the mining initiatives, it is about improving the fragmentation to enable more ducting through the plant, but also just bringing greater and greater discipline into how we blast, how would you market, how the shovels dig, et cetera. But beyond that, we've also moved into the total cost of ownership and the supply chain side of things. So, the procurement of non-OEM engineered parts, just to name a few, but we've got 45 initiatives on the order and they're all delivering good value. So very, very pleased with how things are going.
Operator: Our next question comes from Tyler Langton with JP Morgan.
Tyler Langton: Good morning, hope everyone's doing well. Just first question, I guess with sort of COVID cases rising. I guess is there do you see any increased risk of the shutdown at the mines, especially, I guess, the mines that were previously impacted. And then just with the Cerro Negro, I guess it's operating at 65%. Is it really to get back to 100% of it really just based on having travel restrictions ease or I guess other sort of alternatives you can look at?
Tom Palmer: Good morning, Tyler. Thank you. There is absolutely nothing wrong with the Cerro Negro operation. The constraints are all around the travel restrictions, but everyone in Argentina will be managing to keep people safe and healthy. We continue to apply our kinds of protocols with discipline across every one of our 12 managed operations, no matter where they're in the world. So in Australia, where there is no spread, there is no community virus in the Western Australia or the Northern Territory with Boddington, and Tanami respectively. We still maintain all of our protocols at those operations to ensure that we manage the risk of this nasty virus spreading. We still have some 10,000 people who are not an operating partner and office environment working virtually, again to protect the health and safety and safety of the communities in which we live and work. Rob Atkinson will give you a story of around Penasquito of the work that's being done, which will be mirrored across every one of our operations to ensure that we keep people health and safety, it's a good story that really demonstrates the extra effort that people are going through, the resilience in our business and why I'm so incredibly proud of our Newmont workforce. Rob?
Rob Atkinson: Thanks, Tom. And really just to build on that is that it also highlights how Newmont is living and managing the constitution with the virus. The Penasquito to give everybody on the line, a sense that when we talk about COVID testing, it's easy to think, yes, that's fairly simple. But in Mexico, we've got 18 testing centers, we've got seven at various airports throughout Mexico, we've got seven at various major bus stations throughout Mexico. And we've got four testing stations onsite, that that also is required to staff those up with nurses and we've got 56 nurses and personnel operating those 18 centers. And as you can imagine, since COVID started, we have performed 10s and 10s of thousands of tests to make sure that our people are safe to go to the site. And also we're testing before people leave the site, so they can go back to the communities safely and with the full knowledge that are clear the virus. But I think that story from Penasquito really highlight just as Tom said, the effort and the commitment that our teams have to make sure that we operate throughout this virus very, very safely.
Tyler Langton: Thanks. That’s helpful. And then just at the two projects for next year for Yanacocha and Ahafo North, can you maybe give us a sense when you actually might make a decision? And is there any risk just from COVID sort of pushing those decisions out?
Tom Palmer: Thanks, Tyler. I will pick up Yanacocha -- Ahafo North will come first, it will be early in the new [indiscernible] Ahafo North which is working through with the API on the final permit. It's absolutely down the middle of our warehouse. The blueprints are the same as the original Ahafo, [indiscernible] very, very straightforward mine to do, I repeat a mine mill, 20, 30 kilometers from existing Ahafo operation. And a lot of the work particularly in the first four months is a relocation of the road and then clearing of top soil and starting the initial [indiscernible] all of which is done with local Ghanaian workforce. And we build off the project that is still in place at Ahafo having just recently finished the Ahafo mill expansion and to do underground, so very well-positioned with Ahafo North and lots of water bodies closed, [indiscernible] appears to be closed. At Yanacocha Sulfides, in second half of next year, still doing the final engineering work around the feasibility study and again pretty straightforward in terms of bringing that project 12-months approved. So the layback of the existing Yanacocha pit mine today at Yanacocha starts deploying equipment to that layback. And at the Yanacocha underground mine which we have already developed quite extensively so both [indiscernible] evolve, will advance. The key word is around the construction of a concentrator and the – we will apply on the existing footprint. And again, as you approve that project and do your early works, a lot of that is civil works to lay the foundations for substantial processing plants, so not so unique COVID-related restrictions to being able to bring that project on as we enrich them.
Operator: Our next question comes from Greg Barnes with TD Securities.
Greg Barnes: Thank you, Tom, just rehashing your commentary on the dividend framework. Did I understand that you will reassess the dividend every six months now going forward based on the gold price?
Tom Palmer: Our board will look at every quarter, Greg. But I'll look back at a semiannual gold price period. So if you look at the discussion we went through with the board this week include that dividend, we look back the semiannual period track on is the first half of this year, gold was averaging around $1,550 for the first half of the year, we took conservative view to lower that to $1,500 and applied a 40% on the lower end of that range to that $1,500. So we'll look every quarter as a board but they look back over that semiannual period.
Greg Barnes: Okay. So in Q1, if you look back over the second half of 2020 let’s say the average $1,900 which is exactly will, you do something like $1,800 as the basis of dividend?
Tom Palmer: I think as you use our framework and my -- did those calculations, and you saw that in your report this morning, that is absolutely the discussion that our board will be going through. So you could do that calculation side of 40% to 60%, could be somewhere between 0 to 20, 0 to 40, that would be subject to the board, looking at not just the gold price but all of a number of other factors. But that's just sort of discussion and we'll be having that framework allow us to have that discussion, and allows us you and the investment community to make those determination.
Greg Barnes: And since I'm interested in your comments on copper and the projects in your portfolio, is that an expression of increasing interest in copper or just a factoid out there that those projects have copper exposure from an interesting angle?
Tom Palmer: Yes, it's just purely a factoid. We don't need to do anything other than develop an organic project pipeline, we'll get a natural exposure to copper at a time it will be an important thing in the global community.
Operator: Our next question comes from Chris Terry with Deutsche Bank.
Chris Terry: Hi, Tom, Nancy and Rob, a couple of questions from me, first on the cash balance now at $4.8 billion, just seeing that the mechanics of that, looking back, I guess the last couple of years, you have had a balance about $2 billion or so I think. But generally, it's a reasonably high cash balance. But as you think about going forward, as a cash yield, you pay somewhat into dividends, and then you show it on our numbers become net cash relatively quickly. How do you think about the actual cash balance? So what you'll do with that is that you're going to be used to pay debt, or what physical will you do with the actual cash? Thanks.
Nancy Buese: Yes, absolutely. I'll take that one. You got this right. We have indicated publicly that we would like to keep cash balances, somewhere in the $2 billion -- $2 billion to $3 billion range. And I think in the time of COVID uncertainty that remains prudent. We've also indicated that we’ll continue to use that cash for things like paying down our 2021 through 2023 debt, things like the share buybacks that we initiated last year, and certainly contributions to the dividend as well as reinvesting in our business. So all of those things combined will give us that financial flexibility, and optionality. But yes, in today's world, I think holding a bit more cash on the balance sheet is certainly something we'll continue to do.
Chris Terry: Okay, thanks. Thanks, Nancy. And then just in terms of the project pipeline on Slide 9, you talked about Ahafo North and Yanacocha Sulfides, 750, I think so the Ahafo North CapEx and Yanacocha Sulfides' second half next year decision, can you just remind us the time period and the rough capital that that would be spent over, I think it's a pretty long-dated project, but just wanted to get an update. Thanks.
Tom Palmer: Thanks, Chris. It's round down to $2 billion where 51.35% is in Yanacocha, so it's roughly a $1 billion to Newmont's account and its three-year development. But you look at the big -- the three big capital projects, and if you look at our -- going to model our development capital going out on the back of those, certain pieces for Tanami, certain pieces for Ahafo North, and a billion for Yanacocha Sulfides over the next four maybe five years. That's about roughly I'll say on development capital. [indiscernible] and that's another important factor behind the -- we've got the primaries, we've got a steady $1 dollars in sustaining capital, steady $400 million combined between advanced projects and exploration, and roughly a steady $800 million to $1 billion in development capital in mine time. Our prime work that allow us to share excess cash to our shareholders.
Chris Terry: Okay, that makes sense. So next year, those two main updates and then looking at Slide 9, any of the other sort of pre-feasibility type projects will move to the next stage?
Tom Palmer: Yes, I think the ones to keep in mind that will mean our project pipeline is what we don't show and is seeking a shaft at Turquoise Ridge around 38.5% of that, our [indiscernible] expansion which we earn 40% of that getting close to full fund, so there are a couple of other very important catalysts within the Newmont portfolio and then we will be continuing to optimize the three big mega projects will operate more at a norm. And we have to do one of those at one time, very end of that mix. So far more and overall on the second underground of Ahafo, Apensu moving underground Ahafo seems to layback [indiscernible] push through execution. And then Coffee, we’re just starting up a drilling program in calendar winter. And Coffee would be another potential Ahafo North type project that we could be bringing through the follow-on, we’ve got Tanami 2, Ahafo North, it’s Coffee a potential follow-on from that so plenty of activity happening in that feasibility study front.
Chris Terry: Okay, that's clear. And the last one for me with the automation at Boddington due I think early next year what's the latest thoughts on how long you'd assess that for before you'd maybe look at other sites and rolling that out on other operations?
Tom Palmer: We don't need to do much assessing at the time relative further, I implemented the first autonomous mine in the Pilbara almost 10 years ago. So it is proven technology, there's no piloting or assessing, it's changing a fleet either, and it's going to be a business case. So once you went through the existing operations and you got to have enough log in front of you and a value proposition to change that obviously. Boddington presented that business case, so there has to be business case. And then just some, very important part of that statement is improving lives. And we're going to think about those communities in which we live and work and whether Autonomous Haulage is part of that equation when you think about some of the locations that we're in. So we'll continue to assess whether there's opportunities for Autonomous Surface Haulage there is plenty of opportunities for underground autonomous operation, and we're doing quite a bit of that already. So I expect to see more underground autonomous before another open pit. The real opportunity for us is to increase the value proposition around those mega projects with sort of pre-feasibility. When you have within your portfolio an autonomous operation, you can train and you will bolster [ph] in that operations and underpin a base case for those projects, too bigger risk to be doing your first radio with a sort of fall into a brand new project. So that's one of the strategic elements of that.
Operator: Our next question comes from Anita Soni with CIBC World Markets.
Anita Soni: Thanks, guys. Thanks for taking my question I would want to delve a little bit further into Slide 9 and Slide 10, which was the capital and the projects? So I think you just mentioned that Coffee, you were talking about them in the context of Tanami and Ahafo North. So do I understand mean that the capital would be in the range of $700 million to $800 million? Is that what you trend out that way?
Tom Palmer: Not quite, Anita. I think it'd be a lower number. But I categorized by the two broad categories I have for projects are major and mega. For major project, anything $300 million, could be anything from $300 million up to $1 billion. And then mega project is anything greater than $1 billion, that's actually consistent from my experience with the projects, different way we implement those two types of projects. So Coffee is similar size to Ahafo North, more accountable, I'd say different place of the work. So --
Anita Soni: So it's more along the range of like 250,000 ounces, 300,000 ounces rather than five.
Tom Palmer: Yes, yes.
Anita Soni: Okay, all right. Second question. Just, I'm trying to understand this free cash flow profile that you have a little bit further. Not Included in there is the Ahafo North and Yanacocha Sulfides and obviously all the other projects that we've talked about, but what is included is Tanami which is an execution, right?
Tom Palmer: That's correct, Anita. So that's one of those projects moving to full fund. Then those projects will take some of the free cash flow that we're showing there, however that's only showing free cash flow from gold. It's not showing the free cash flow from the other metals, so that that challenge you read from both of those perspectives.
Anita Soni: All right. But it does include the gold all that kicks in for those but I think was only kicked in around 2024, 2025 anyway, right?
Tom Palmer: Those projects are in the back-end -- back end of five years. But they are very important projects, I'm excited to be able to bring them forward and show you what those projects stood for production protocol and cost.
Anita Soni: Okay. And then with respect to exploration, that's something that's I am just interested, looking at the exploration budget going forward next year, do you guys have an idea of whether or not they'll see the same increase? Or, what are you looking at this stage?
Tom Palmer: This is the time year-on-year [indiscernible] in exploration, Anita, 80% of that's being in Newmont, it’s been around conversions and extending lives.
Operator: Our next question comes from Mike Jalonen with Bank of America.
Mike Jalonen: Hi, Tom, and everyone. So you intrigued me on the MR open pit Century project have gotten pretty quiet since the merger, it's coming back to life. What's changed from the prior owner was saying about Century versus smaller pits not moving any buildings. Just curious, what kind of tax rate could it be? Thanks.
Tom Palmer: Thanks Mike and we're really pleased with the question from you each quarter. Look forward to have a question from you each quarter. I will pass it over to Rob to give you some color on that.
Rob Atkinson: Hey, Mike. Good morning. It really is the simplicity of it and the lack of complexity, to be honest, that obviously is an existing name that just needs to be watered, we've got a good geological model there, we can use the current plant infrastructure. And it also provides us with kind of 10, 11,12 years of mine life that allows us to further explore the bottom, the oil pond and the do orebodies. So it really was just a fairly simple value equation. And we just don't know the simplest road, but also the most value accretive road.
Mike Jalonen: So where do you go from here with this project? I'm trying to get some numbers on some timeline?
Rob Atkinson: We’re just doing the studies at the moment. And as that slides indicated is that we’re still at the early stages. So I would expect we'll be able to give you more of a timeline in next year, once we've progressed a bit more. But just kind of rule of thumb that we're expecting, it's going to be a three to four year kind of planning, preparation stage. And then we're expecting around the 12 year, 13 year kind of life at between 150,000 to 200,000 and scheme of things. So that's broad brush, but certainly make its early days, the team is working hard on at the moment to come up with suitable main designs and watching schedules and certainly in the New Year, we'll be able to provide more color.
Mike Jalonen: Okay. And I guess that's turning to Oberon, I can't remember if that was discussed when we were at Tanami there in November, a couple of years ago. Maybe just remind me where that is and to set things pretty exciting.
Tom Palmer: Yes, Mike it’s again I wasn't on that tour, which I think might -- we have touched on it in terms of geological overview that Chris Robinson peaked, although we've done a pad or drilling since your update literally.
Rob Atkinson: No, not one. But it literally is just a stone's throw away. It's less than 30 kilometers from the underground.
Tom Palmer: Hope you had a strong arm.
Rob Atkinson: And certainly, there's a huge amount of synergies that we can get there. It is an open pit, but it's also got underground potential as well. So in terms of proximity, it’s very, very close, which allows us to potentially use the existing infrastructure. And that's certainly one that, the team is focused very hard on, as I mentioned that the drilling program, we've struggled this year because of COVID, not being allowed to drill on average on land. But we've got those approvals and hold for the right season where you can [indiscernible] pad again.
Operator: Our next question comes from Michael Dudas with Vertical Research Partners.
Michael Dudas: Yes, hi. Good afternoon every person and [indiscernible] everyone. Just maybe, you mentioned briefly about ESG in your prepared remarks, et cetera. Thinking about from the energy standpoint, when you're looking at your development projects, obviously you're probably really looking like, I've always looked them from the best environmental and social efforts from a development standpoint, but any queries or thoughts on less decarbonizing from that standpoint, or, are you looking into investments that you haven't talked about until the development work, that may lead towards some requirement versus to improve that metric from a currency standpoint?
Tom Palmer: Thanks, Michael. We're quoting what amount until our 2030 targets, but we're resetting out our mission targets both [indiscernible] but to a science base and we’re also providing an aspirational target for 2050. And because we've got a long line to follow, we can actually see after that far, and just talk about how we support the global community in terms of how we develop our projects and our operations. We have -- our portfolio had a natural move to underground mining. So as we move to more underground and open pit, we reduce both our emissions and intensity and carbon sizes, we look at where our power sources are coming from. But all that we can do to convert power and we’re pulling power off the grid, what the supplies are doing, how we can encourage supplies to, encourage conditioned intensity, for instance, in Ghana we supported installation of solar power cells that go into the grid as part of that, that process. And then if we're serious, then we need to be thinking about what we're doing with our investments to ensure that we’re around with it, we're reducing our emission intensity, so that is the move to more electric equipment. The move to autonomous haulage allow us to diesel fired trucks and you're more efficient, because the automation doesn't have the human element in terms of how our engines are operated. We then look at different fuel sources. We already apply a carbon price to some of our key investments $20 a ton and $40 a ton to assess what we do. Our full potential program, our full continuous improvement program, a key element of that is improving energy efficiency, which brings improve the cost, improve productivity, and reduce emissions. And we need to think about and that the industry needs to be part of the discussion around where are we putting our money, where our amount is with these targets and with our explorations and starting to develop technologies that can ultimately lead to a carbon neutral world and make the device we're having right now. I think if you want to be a leader in this industry, then you have to be demonstrating through your actions, the industry leadership. So we're having those debates and stay tuned we're going to talk about our new targets next month. And we continue to talk about how we can minimize in weeks and months beyond that.
Rob Atkinson: So if I could just add just to build on that, Michael it's Dean Gehring, who leads our Technical Services also employing some key specialists in this domain. And we've got power and electricity specialists, which will really help us in terms of not only managing the current power that we're pulling from that, whether it's the stranded power or whether it's from the grid. But also working with the suppliers, as Tom said about the future, whether it's gas plants, solar plants, other type of electricity plants. So again, it isn't just where the targets is, we're actually building the teams that we need to do that work.
Operator: This concludes our question-and-answer session. And I would like to turn the call back over to Tom Palmer for any closing remarks.
Tom Palmer: Thank you operator and thank you everyone for joining us today. And please you and your families stay safe and well. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.